Operator: Good day, everyone, and welcome to the Patriot Transportation Holdings, Inc. earnings call for the second quarter. At this time all participants are placed on a listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Rob Sandlin, CEO and President of Patriot Transportation Holdings. Sir, the floor is yours.
Rob Sandlin: Good afternoon and thank you all for being on the call today and for your interest in Patriot Transportation. I am Rob Sandlin, CEO of Patriot Transportation. And with me today are Matt McNulty, our Chief Financial Officer and Chief Operating Officer; and John Klopfenstein, our Chief Accounting Officer. Before we get into our results, let me caution you that any statements made during this call that relate to the future are, by their nature, subject to risks and uncertainties that could cause actual results and events to differ materially from those indicated by such forward-looking statements. Additional information regarding these and other risk factors and uncertainties may be found in the Company's filings with the Securities and Exchange Commission. Now for our second quarter results. Today, the Company reported a net income of $475,000 or $0.13 per share for the quarter ended March 31, 2023 compared to a net loss of $490,000 in the same quarter last year. Operating revenues for the quarter were $23,465,000, up $2,537,000 from the second quarter last year due to rate increases, higher fuel surcharges, increased miles and an improved business mix. Miles this quarter increased 97,000 miles over last year's quarter, mainly due to an improving driver count. Operating revenue per mile was up $0.40 or 10.2% versus last year's quarter. Compensation and benefits increased $2,081,000, mainly due to increased driver compensation to the increased driver compensation package, including an increase in driver training pay of $211,000 versus the same quarter last year and an increase in owner-operators. Depreciation expense was down $107,000 in the quarter and gains on sale of equipment was $275,000 compared to $119,000 gain in last year's quarter. The operating profit this quarter was $584,000, compared to an operating loss of $639,000 in last year's second quarter. Now for the six-month results. The Company reported net income of $960,000 or $0.27 per share compared to $5,949,000 in the same period last year, which included $6,281,000 from gains on real estate net of income taxes. Operating revenue for the period were $46,315,000, an increase of $4,816,000 due to rate increases, higher fuel surcharges and an improved business mix. Operating revenue per mile was up $0.53 or 13.8%. Miles for the period were down 202,000 miles versus last year's period, mainly due to closing of our Nashville terminal last year. Compensation and benefits increased $3,202,000 due to the increases in driver compensation, including a $296,000 increase in driver training pay versus last year's period and increases in owner-operators. Fuel expense increased $440,000 for the period. Insurance and losses decreased $756,000, due to lower health and risk claims and depreciation expense was $310,000 lower versus the same period. Gains on equipment sales was $341,000 compared to $479,000 in the same period last year. SG&A increased during the period $406,000 due mainly to bonus accrual, increased travel and higher 401(k) match. Operating profit was $1,204,000 compared to $7,902,000 for last year's six months. Prior year gain on real estate was $8,330,000 due to the sale of our Tampa terminal and land. Now for the summary and outlook. In the first half of our fiscal 2023, we added business with new and existing customers on the back of a higher driver count and increased our miles quarter-over-quarter over prior year quarter for the first time in several years. We also have new business opportunities booked going forward into the third quarter, and we'll continue to focus our growth with new and existing customers that meet our stated goal of adding business that will improve our return on investment. We had $6,941,000 of cash at the end of the first quarter -- at the end of this period with no outstanding debt. We will add 73 new tractors during our year, 44 of the tractors will replace our existing company fleet and 29 will replace leased tractors with company-owned tractors. We believe replacing the 29 leased tractors with company units will provide a better financial result and is a good use of cash. We continue to focus on our driver hiring and retention while the driver hiring market is still very challenging, our driver count increased during the second quarter, which allowed us to add miles throughout the period. This comes at a cost, as shown earlier, with $296,000 of added driver training cost compared to the prior year. However, the added capacity is encouraging for our plans to grow miles and revenue due to the previous driver pay increases, turnover results have been lower among our drivers with a year or more of seniority. New driver acquisition, while improved, continues to result in high turnover, but with better results than this time last year. The trend of general freight spot rates declining has allowed us to add more owner-operators in several markets, and we will continue to monitor and balance with company drivers. In closing, our safety goals are on target for the year with the exception of product mixes, and we will continue our efforts to keep preventable incidents and related expenses in check while also staying focused on quality customer service. We believe we are positioned well to take advantage of the seasonal volume increases along with committed new business that I mentioned earlier. Thank you again for your interest in our company, and we will be happy to entertain any questions.
Operator: [Operator Instructions] Your first question is coming from [Martin Lorenzen].
Unidentified Analyst: Long-time listener, first-time caller here from Europe. Can you remind investors about your PP&E item on the balance sheet and particularly, how much of that is related to terminals? How many terminals are left? And how do you think about that asset base?
John Klopfenstein: To break out how much of that is related to the terminals would take a little bit of time. But as far as how many terminals we have left, we've got 17 terminals -- terminal locations currently. And I think that's down from 21 if you went all the way back to six years ago when we first had our terminal closure in Birmingham.
Unidentified Analyst: Okay. And what would you say is the economic benefit of you owning that infrastructure?
John Klopfenstein: Well, I mean a lot of it is that we don't experience any real expense from it. And we've owned those properties. Most of those properties going back 50 years, let's just say as an example. A lot of it has been depreciated and so there's not a lot of cost to us in owning those facilities other than the maintenance versus if we were to on lease properties today, it'd be extremely expensive.
Unidentified Analyst: Yes. That makes sense. Yes. And if you compare the existing months, the last 17 months to the one that's being sold or that was sold to Amazon. Would you say the economic value is comparable or just very broad?
John Klopfenstein: Yes. No. That property was extremely unique as far as the rest of our properties go. The rest of our properties are -- that was -- there was a lot of excess land, and it was in a place in Tampa that it has extremely high property values, a place known as South Tampa. So we don't have anything like that left. Everything else in our network is relatively smaller properties in industrial-type areas. I mean they've got value because, obviously, even industrial properties are limited in most cities, but there's nothing like that left in our network.
Unidentified Analyst: Okay. And then lastly, just a little bit more on longer term, how do you think about smaller acquisitions? I can only imagine that there's some distress in smaller mom-and-pop shops, given the current workforce environment and the cost inflation?
Rob Sandlin: Sure. I think -- this is Rob. Good question. And we are continuously being sent acquisition opportunities, and we've looked at a number of them. We've -- we've taken a shot at one or two small ones, and we'll continue to do that. And we -- but we -- ours will be a focus on an acquisition that's a good strategic acquisition or a bolt-on that makes good. That's going to provide something accretive to the shareholders and some return on investment. And so a couple of them, we've looked at probably went for higher prices than we would have been willing to pay. And so we just have to kind of walk away from those. But it's something that's part of what we do. It's certainly on a monthly basis.
John Klopfenstein: And to add on to that, mostly what we'd be looking for there is to try to get some diversification out of an acquisition. So -- but that's not the only thing, but that would be a primary item we'd be trying to do through acquisition.
Operator: Your next question is coming from Christian Olesen from Olesen Value Fund.
Christian Olesen: So wanted to see if you can give us an update on where you're at, at this point in your conversations with your customers about pricing? Are there any relationships left where you really need to meaningfully improve the pricing in order for that relationship to really make sense for you or say that you're really back to just normal ongoing price increases at this point?
Rob Sandlin: I think we're somewhat back to normal. Some of that will depend on what opportunities present themselves and how future negotiations go. But I think we've done -- I think the way I generally answer that is I think we've done most of the heavy lifting with regard to partnering with the right companies, and that continues to pay off, and that's where a lot of our growth is coming from. And that -- but those -- but understanding that those are typical and typically, at least annual increases. And so they'll start to roll again, roll around, again, some of them in the summer and in the fall, and then we'll get back through the early part of the year again.
Christian Olesen: Okay. That's helpful. And how would you characterize the competition out there in general?
Rob Sandlin: One, I would tell you that there's not a lot of excess capacity in the marketplace. There feels like there is slightly more than there was, say, a year ago. But not to the extent to where a surge in -- even a small surge in demand or any kind of disruption creates a real problem. All of we just had flooding in South Florida. And it took that market a couple of weeks to get caught back up. And so I wouldn't tell you that there's a lot of excess demand out there. And I think the same things that we're talking to you about as maybe a little bit of easing and the ability to get some drivers hired and owner-operators has happened, but nothing on just a large scale. So I think everybody is probably mostly in the same position.
Christian Olesen: Yes. And I also meant in terms of the pricing, the rates, is that -- how would you characterize the competition there?
Rob Sandlin: Well, I can't -- I don't -- it's hard for me to speak for what the competition is doing on pricing, except that I will tell you, we've told you guys as we've gone along and we've raised driver pay, and we've raised our freight rate significantly over that same period of time. And I think if the competition wasn't doing the same thing, then we would have lost business by now. And we really haven't seen that happen. If anything, we've added business and our partnerships have improved. So that should be a little bit of an indication of what's going on in the market.
Operator: Your next question is coming from [Steven Dennis].
Unidentified Analyst: I'm a shareholder. Well, I live in Sarasota, Florida. I like seeing our product. Where would I go to see our trucks in action?
John Klopfenstein: Well, best place is to go to the port of Tampa to watch our trucks coming in and out of there. And then if you wanted to see them in action, I would just follow them to out of there to a station...
Rob Sandlin: Or you as a shareholder, if you'd like to such a driver, you can't really watch them load. You can pull into the port facility and see what the port facilities look like. But if you want to call me, I would be glad to arrange for you to go watch one of our drivers unload with one of our management.
Unidentified Analyst: I like to do that. Can I see something in Sarasota or I have to go to Tampa?
Rob Sandlin: We've got Sarasota Clearwater/St. Pete stuff, so we can find something close to you.
Unidentified Analyst: Okay. Can I do that?
Rob Sandlin: Yes, reach out to Matt or me or either one, and we can help arrange that.
Unidentified Analyst: I like doing that. I'd like to make sure we're there.
Rob Sandlin: I think it'd be good. It'd be educational for sure.
Matt McNulty: Yes, you can reach out to me.
Unidentified Analyst: I'm going to call Matt.
Matt McNulty: Yes.
Operator: Your next question is coming from [Steve Rudd] from Blackwell.
Unidentified Analyst: Sorry, this is the last conference call. No interest in seeing the trucks load and unload, but it sounds like that's a fun day. Curious on our driver count, is it now at 380? I know you mentioned in the press release an add of 30. Does that bring us to 380 approximately as of today?
Rob Sandlin: Yes. I don't mind telling you, we're at 387 as of today. And that's revenue-producing drivers and we've got more drivers in training.
Unidentified Analyst: No kidding. So the three -- that's a net increase of 37 drivers approximately versus year-end. Is that about right?
John Klopfenstein: What was the last part of the question?
Unidentified Analyst: Sure. Like when I look at the incremental 37-or-so drivers, did that -- did they come on since January 1, since March 31. I mean, when did most of those come on?
Matt McNulty: Yes. But I would say, yes, John is right. I mean that's from October 1 forward, but the bulk of those folks really started to increase in January.
Rob Sandlin: That is really -- most of that is since -- the bulk of that is in January and a lot of that happened in February and March.
Matt McNulty: In this month.
Rob Sandlin: And in this month going forward into April.
Unidentified Analyst: Of those is getting very impressive. Of those it tells us most of the numbers not in our revenue number for this quarter. And it sounds like you've got more coming on, what's bringing about the more? It's just -- is it through these training programs or I know it's a combination, but give an idea right how many -- go ahead?
Rob Sandlin: I think it's a few things. One, certainly, the driver pay increases that we've done have helped us with our retention levels and those drivers that have been here for a while. The newer drivers pay is up, and so I think that's helped. We are -- we changed a few things in our recruiting process and conversations to try to get drivers in the door a little quicker because some of the things that we were asking them, we felt like were just waste of time because we can find those things out later. And so we've really kind of gone through the whole process top to bottom, and we think all of those things are helping. And I think from the owner-operator standpoint, and we're certainly -- we certainly increased them as well. I do think that the freight market out there albeit in the port cities, it's tougher, but the freight market and the fact that the general freight prices, not our freight prices are down, some of those owner-operators have had to move on to something else. As you may know, all those used trucks they were buying over the last couple of years were very high priced. And so they've got to have good freight to be able to pay for those things.
Unidentified Analyst: So when we bring on owner-operators compared to employees, in the past, I've used as an operating in terms of incremental revenue per driver or -- I'm sorry, profit per driver have used as a ballpark of about $50,000 or netted out about $0.01 per share. In the owner-operator situation, are we at a lower margin because I've never quite understood...
Rob Sandlin: I think in our perspective, whatever the number is, we feel like the incremental benefit to the owner-operator is similar to the Company driver to us.
Unidentified Analyst: To you guys?
Rob Sandlin: Right.
Unidentified Analyst: So how many more drivers -- and I know it's a tough question, but you guys clearly have hit the right formula, the market is hitting right? And these guys who bought the -- they've got to get work, they bought their expenses vehicle. So what do we think our accounts? Does it continue to go up? I mean these are staggering numbers, quite frankly.
Rob Sandlin: I mean our plan would be to continue the incremental growth of the drivers. I mean we're -- we, for lack of a better way of saying it, we've created an internal target of 400 drivers. Now when we get to 395, we'll create a new target and determine what that is and where that is. Some of the markets will top out, some of the smaller markets where we will only be looking for drivers to fill a spot if somebody leaves. And because we're not going to be able to grow a lot in some of those markets. But there's other markets where we can still grow and there's other segments where we could still grow within some of those small terminals that are predominantly petroleum. And we start talking about dry bulk business and some of the chemical and some of the other things that we're working towards. So I think we'll continue to see incremental driver growth as long as we're able to get to hire them and keep our turnover move in the same direction. And then we'll just -- we will change our plan as we go, but I would tell you we'd continue to try to grow the driver for us.
Unidentified Analyst: Okay. Now I just want to talk about the price increases so we should be able to put forward some additional pricing in summertime and fall as these contracts roll? I mean if you were in...
Rob Sandlin: There's a few things that roll in the summer. Most -- the heaviest part of the lifting in numbers of customers is in the fall, and then we've got some others that roll on some larger accounts into the early part of the calendar year. And so I would say your biggest impact is going to be towards fall to early part of '24 -- first couple of months of '24. Beyond what we've already accomplished this year.
Unidentified Analyst: All right. Understood. I guess the next question I have is, let's talk a little bit about our -- I don't know if I could call it new business, but the dry bulk and the other product that we're picking up, what percent of our company now is hauling that stuff versus what we delivered to [indiscernible]?
Rob Sandlin: So I think in the Q, we'd say that petroleum is 85% of our business. And I don't want to -- I want to be sure we said this correctly. We have added new business in the petroleum side as well. So our plan is to continue growing all of those segments where it makes sense for us to do that. And -- but our plan, as we've talked about before, is to continue to try to diversify with the dry bulk and the chemical. But if we continue to be able to grow petroleum at prices that make sense for us and we can hire the drivers. We'll continue to do that as well.
Unidentified Analyst: Okay. All right. I mean for the first -- you guys have consistently -- and I think, I mean for two years or three years now, I don't remember, I can look back. But you've consistently run this business extremely well. And right now, it feels like we're hitting it on all cylinders. I mean we're hitting it on driver count, we're hitting it on pricing and also top line growth from customers. Is That -- is that a fair statement?
Rob Sandlin: That's -- we feel good.
John Klopfenstein: About the direction and the metrics that you rattled off that we're continuing to see the things we care about it that move the needle the most are improving this year.
Unidentified Analyst: I'm sorry, you think is that right?
Rob Sandlin: Yes.
Operator: Your next question is coming from John Koller from Oppenheimer + Close.
John Koller: All right. Congratulations. Reiterate that I think you guys are doing a great job. My questions relate more to CapEx. Based on the figures that I'm pulling out here, it looks like borrowing equipment sales, you might have to borrow a little bit of money towards the end of the year. Is that -- am I reading that right?
Matt McNulty: Our forecast would have us in the fiscal year in a similar position to where we are now cash wise.
John Koller: Okay. Okay. I guess I was thinking that the CapEx was going to be -- okay, maybe I misread the press release then. The second question then it relates to as you hire get your driver counts up. I think you have enough trailers and tankers. Do you have enough -- obviously, only a little more tractors, but do you think your CapEx budget then going forward will be similar to this or do you think it will be different?
Rob Sandlin: John, I think the thing you got to pull out going forward is the 29 leased tractors that we're replacing this year. One on tractors on a replacement cycle, we'll get back to a more normal 10 trucks a quarter and just in round numbers. Once you get that, but this one year, we had to replace those 29 leased tractors. And we just -- we felt like in our analysis that doing that with cash and doing it with company trucks was the right answer. On a go-forward basis, we have the trailers that we need to grow on the petroleum side of the business. We have some growth ability on the dry bulk side of the business. If we saw a big chemical opportunity, we would have to probably go out and buy some equipment. Right now, the focus is not really to do that. And so I think we're in pretty good shape on the trailer side. What we have historically done is if we need as these replacement tractors come in, and we need capacity -- truck capacity, we will pull two, three, four, five, 10 of those trucks that are coming in continue to run the older trucks and then we would order trucks for -- to buy later to fill that driver number. So we're not going to do a speculative purchase of what I would call expansion tractor capacity as long as we have trucks coming in on a regular basis.
John Klopfenstein: And the one thing we always got to keep in mind in our business in particular is we try to we don't do it everywhere, slip-seat all of our petroleum trucks. So there's always some capacity in the slip-seat side where you've got a single shift -- a single shifted tractor, you're hiring into his ship partner.
Rob Sandlin: And that's a focus right now as we've added to this driver count is to continue to push that utilization up on that -- on the trucks that we have.
John Koller: Okay. Do you have a lot more room in the utilization side? Or do you have a certain amount of downtime you need for repairs and maintenance kind of stuff?
Rob Sandlin: I wouldn't say we have a lot, but we've got -- I think we've got enough to get us to the 400 driver mark or so. And then depending on the type of business, to give you an example, the dry bulk business is typically one driver, one truck. And so if you're growing that business, you might need more trucks than if we were growing a piece of business in a terminal where we could go from 1.25 or 3 truck drivers per truck to 1.5. It just depends on what we're adding. But there's some room there.
Operator: Your next question is coming from John Deysher.
John Deysher: Just following up on the diversification question. You're talking about diversified -- diversifying product, right, not geography in terms of potential acquisition?
Rob Sandlin: Right. Yes, our -- yes, to be specific, what we would like to do is to have one of our existing terminals that already has management and dispatch and maybe it's predominantly a petroleum terminal and then diversify that into water like we have in a couple of our terminals dry bulk. If we -- if we've got 25 drivers in the market and we can add five drivers of dry bulk to that particular terminal, then we're able to utilize that same facility, the same dispatch staff and management staff. And so really, the only thing we're adding is drivers and the capacity haul loads.
John Deysher: Okay. That makes sense. And in terms of the miles driven, what's the goal for the full year, would you guess, 21 million, 22 million miles?
John Klopfenstein: Yes, roughly, yes.
John Deysher: 21 million?
John Klopfenstein: 22 was probably what I would have in my head is our target.
John Deysher: 22 million. Several years ago, the miles driven were 43 million, 44 million. So I know you've walked away from customers. You've closed some terminals. What would be a reasonable target for miles driven to normalize that as we...
Matt McNulty: Kind of right where we are.
Rob Sandlin: Yes. I think that's a hard one for us to answer because we're just coming out of a market where it was next to impossible to drive -- to add driver capacity. And so we're kind of feeling our way through what are we able to do on a grassroots basis. And I've said it forever. It's one driver, one truck at a time. And then if we can ship the truck, then it's two drivers, one truck at a time. And so we want to get a little better feel for this driver hiring market and retention. Hopefully, it continues in the direction that it's going now. And then it would be our goal to continue to add miles. I would probably not want to speculate right now on what a target is because we really haven't had those internal conversations.
John Deysher: Okay. But in your markets are people back to driving at levels pre-pandemic? Or people working from home? Or I mean, obviously, they probably are, but what's that dynamic like at this point coming out of the pandemic?
Rob Sandlin: I think we -- and we're getting ready to go into the summer busy season. We didn't see -- frankly, we didn't see the surge -- the typical surge of business in the Central and South Florida market that you would see in during the spring time. And I don't know if that's partly because the Europeans aren't traveling. I just don't know exactly what that was. But I'm out on the roads every week, and it feels like the traffic is back. And if you go through Atlanta, it doesn't take you long to figure out that the traffic is back, Tampa is the same way. So we're anticipating a pretty busy summer season. Probably best way to answer.
Matt McNulty: People working at home, spend more time driving, then go to work again just at different times of the day. But we -- I mean, in particular, we've got a customer who's got stores in Jacksonville. And over the last two years, they've consistently been 5% to 8% below what they were pre-COVID for whatever that drives that. People working from home would be my guess. But in other places, they're at the same levels that they were before, like in Atlanta, we're not really seeing -- and that's a little bit because I would think you'd have more people working from home in a place like Atlanta. But to John's point, I still think they're out driving around. So...
Operator: [Operator Instructions] Your next question is coming from [Bruce Oliphant] from Oppenheimer.
Unidentified Analyst: Congratulations, guys, on an excellent quarter. One of the questions I want to ask you. Can you go over if it is like some seasonality to your earnings and like what would you -- what will be considered our strongest quarter?
Rob Sandlin: Typically, John, Matt, correct me if I say this wrong, but typically the quarter that we're in from a business level and seasonality of business would be our third quarter. And then it starts to tail off a little bit towards the end of the fourth quarter as schools have started going back in a little bit earlier. So say, late August and September aren't quite as robust as they used to be. But -- so when you look at this summer month, we would expect to see obviously, revenue should indicate earnings, right? So I would think that the summer should be really strong because that's historically your best. March is typically a really good month. But as I said a few minutes ago, we just didn't see the Florida season take off as much as it normally has in the past. But hopefully, that answers your question.
John Klopfenstein: We still had a strong March, just a little lighter than we would have thought. But yes, March kind of begins the season, and it starts in South Florida. And then as the summer comes on, it moves up more to the north and our Tennessee and Georgia markets really start kicking in the summer.
Unidentified Analyst: So the third quarter should be our strongest -- and how would you like that anticipate, let's say, the fourth quarter in ranking -- in short ranking in the quarters, if you can?
Rob Sandlin: Yes, I'd say it's probably similar to the spring quarter in business levels, maybe a little stronger in the very beginning, kind of the opposite. The January, February -- January, February is a little slow, March is really good. July, August are usually pretty good and it starts to tail off at the end of August and September tails off. So I'd say those are probably pretty similar with the fall being the least of the full from that perspective.
Unidentified Analyst: You made a comment about the commitment of new business in the third quarter. And I was just curious to know your -- to get familiarity with your customers. Is there any way you can discuss possible new business or existing customers that you have?
Rob Sandlin: Yes. I would hesitate to name customers for a lot of reasons. But I would -- here's how I would think I would answer that question. We are focused on our customer base that we have been growing with and talking about partnering, doing a true partnership with. And as they grow their business, typically what happens as new opportunities present themselves, whether that's a new station, a new truck stop. Somebody decides that they want to move a little bit of their capacity and offer that to us a month out or two months out. And so that's when we say that we've got commitments on business, it would be those sort of commitments. And in most cases, I would say, in all of those cases right now, it is folks that we're already in partnership with.
Unidentified Analyst: Another thing I want to ask you is that when I look at your stock, it is quite unbelievable that I really believe the stock is significantly undervalued. And at today's current prices, you're probably looking at a market cap of about $30 million, which means that in the first half alone, first six months, we're not even selling at under 1x revenues for half a year, and we have no debt. So my question really is -- and I realize we're a microcap stock. My question is what does the Company plan to do on an investor relations front to get out this great story?
Rob Sandlin: Good question, Bruce. And I think we had with the period of time that we've gone through and with our earnings not doing so well, we had kind of stepped away from that. And we've had some recent discussions about getting back out there and talking with potential investors and investors about the story that we have going. And so let me get back with you on that really. We're aware that that's probably something we need to do. We haven't up until recently felt like that was in our best interest. But now as we started to do a little better, I think maybe we've got something we can talk to people about.
Operator: That concludes our Q&A session. I will now hand the conference back to our host for closing remarks. Please go ahead.
Rob Sandlin: Thank you all. We appreciate your interest in Patriot Transportation, and we look forward to talking with you next quarter. Have a great day.
Operator: Thank you, everyone. This concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.